Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Brooks Automation Q1 Fiscal Year 2016 Financial Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, February 3, 2016. I would now like to turn the conference over to Lindon Robertson, Vice President and Chief Financial Officer. Please go ahead, sir.
Lindon Robertson: Thank you, Cersei, and good afternoon, everyone. We would like to welcome each of you to the first quarter financial results conference call for the Brooks fiscal year 2016. We will be covering the results of the first quarter ended on December 31, and then we will provide an outlook for the second fiscal quarter ended March 31 of this year. A press release was issued after the close of the markets today and is available at our Investor Relations page of our website, www.brooks.com, as are the illustrated PowerPoint slides that will be used during the prepared comments during the call. I would like to remind everyone that during the course of the call, we will be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. I would refer you to the section of our earnings release titled Safe Harbor statement, the Safe Harbor slide on the aforementioned PowerPoint presentation on our website, and our various filings with the SEC, including our Annual Reports on Form 10-K and our quarterly reports on Form 10-Q. We make no obligation to update these statements, should future financial data or events occur that differ from the forward-looking statements presented today. I would also like to note that we may make reference to a number of non-GAAP financial measures, which are used in addition to and in conjunction with the results presented in accordance with GAAP. We believe that these non-GAAP measures provide an additional way of viewing aspects of our operations and performance. But when considered with GAAP financial results and the reconciliation of GAAP measures, they provide an even more complete understanding of the Brooks business. Non-GAAP measures should not be relied upon to the exclusion of the GAAP measures themselves. On the call with me today is our Chief Executive Officer, Steve Schwartz. We will open with his remarks on the business environment and our first quarter highlights, then we will provide an overview of the first quarter financial results and a summary of our financial outlook for the quarter ending March 31, which is our second quarter of the fiscal year 2016. We will then take your questions. During our prepared remarks, we will from time-to-time make reference to the slides I mentioned available to everyone on the Investor Relations page of our Brooks website. With that, I would like to turn the call over now to our CEO, Mr. Steve Schwartz.
Stephen Schwartz: Thank you, Lindon. Good afternoon, everyone, and thank you for joining our call. We're pleased to have the opportunity to report the results of the first quarter of our fiscal year 2016. We finished the slower Q1 with much optimism for the coming calendar year. Although revenue in the quarter of $120 million was down 18% from September, we had $141 million in bookings without including orders from BioStorage, which indicates some rebound in March and gives us confidence that June will be up from there. In semi, we began to see orders pick up for 10-nanometer pilot lines and for systems that would go into back-end and advanced packaging lines. And our outlook for life sciences is strong on the back of a healthy bookings quarter and by the addition of BioStorage Technologies. We are particularly pleased with the adoption of new products that we’ve developed for the semiconductor and life sciences markets. We ship these advanced products to our most important customers and are getting favorable early performance report cards. These products will begin to generate revenue this year. So, all in, we are very positive about 2016 and the chance to once again improve our performance year-over-year. In semiconductor, our business was down consistent with the equipment industry and with what you’ve heard from other critical sub-supplier peer companies. Our semi and global services business were down at combined 23% quarter-over-quarter and down approximately 7% from the December quarter one year ago. However, when we look at a comparison against full calendar years, we are pleased to report that in the year, which was relatively flat for semiconductor equipment, our semiconductor product business grew 26% from calendar year 2014 to 2015. That results at a combination of 21% growth in our front-end semi business and 85% in our back-end business, a testament we think to our strong market position and share gains from our investments in product development and acquisitions into new growth market segments. We forecast growth in March driven by the same products and design wins that propelled us in 2015. Processes like Deposition, Edge and ALD which utilize our vacuum automation technology have exploded due to the numerous three dimensional device structures that have taken over leading-edge memory and logic designs and we are in the center of this space. For back-end advanced packaging business remained healthy as it was essentially flat with September. Furthermore, we anticipate that March will be a record revenue quarter for us in advanced packaging applications as the design wins we have accumulated over the past three years are now beginning to be put into manufacturing lines like TMSC’s info line. I remind you that for back-end advanced packaging, we count 25 customers and 29 different tool platforms in the win column and we are working to capture more customers and more tool types as we believe that the back-end will present more opportunities for us in the coming year. In our September quarter, we shipped a significant number of contamination control systems to support 16-nanometer foundry capacity expansion for volume production. Consequently, as we anticipated, our contamination control systems revenue was down significantly quarter-over-quarter from more than $16 million in September to $8 million in December. However, order patterns for CCS products give us confidence that revenue will start to increase in the current quarter as we begin to ship products to outfit 10-nanometer pilot lines. In addition, as we predicted, we are seeing some of the non-leading edge foundries purchased their first contamination control systems products, as they move production to technologies at and below 28-nanometer. Across the board, we see that the market for our CCS products is expanding as fabs enter the zone where yields are impacted by contaminants that are introduced as part of the processing technology and this significantly increases the number of wafer and carrier cleaning steps that are part of the semiconductor manufacturing process. With each smaller device node, more CCS tools are required to achieve the same wafer capability. In general, across our most advanced automation products, we are seeing the start of meaningful shipments to support 10-nanometer pilot production. We have eight new design wins for 10-nanometer tools that will generate revenue this year. These are incremental design wins as we do not count wins for tools that already use our products for 14 or 16-nanometer production that are being scaled for 10-nanometer. So we believe we are positioned to again gain more market share at the 10-nanometer technology node. I would like to make one final comment about the semiconductor business. I know that this is the time when people are dubious about China with so much news about economic uncertainty and market volatility. I can tell you that this is not the case for us in the semiconductor business as we continue to see strong activity from China throughout the supply chain as there is investment and encouragement inside China to rapidly build out capability. We are very encouraged – sorry – we are very engaged in China and we have been for many years. We count more than 50 end-users and 15 OEMs as customers and our business is growing each year. We will remain aggressive and vigilant in how we approach the growth opportunities in China, but we do remain bullish on the potential to China’s aggressive stance can do for the industry. I’ll now give an update on our life sciences business. Results for the quarter were mixed but mostly very positive including the one month of strong results from BioStorage, life sciences revenue came in at $21 million for the quarter delivering 22% reported growth over the prior year. Further, the restructuring and cost reduction actions we took during fiscal 2015 delivered a gross margin improvement of 500 basis points in the core life sciences business and it’s indicative of the positive momentum that we are driving in this business. I do want to be clear, we are not content to discuss lower levels of losses as this business is all about profit and I will discuss profitability objectives in a moment rather the reason for some color here is to give a sense about real progress that will serve the life sciences business into the future. I would like to give some specific highlights on the business which include, we had $39 million of bookings from our core life sciences business and that’s without including any new orders from Bio Storage. More than half of the bookings was for new large twin bank stores and we won six of the seven large systems deals that were awarded in the quarter with leading biopharma, scientific research and biotechnology companies continuing our extremely high market share. We have all of our early adopter BioStore III Cryo systems, our small ultracold automated BioStores functioning in the field and the feedback has been extremely positive. As a result of these successful beta trials, we are ready for full commercial launch. Manufacturing is lined up and long lead parts are on order. Customer support teams are trained and in place and we’ve established a go to market channel and customers are being engaged. We are now taking orders. We anticipate close to $1 million in revenue from these cryo systems in the current quarter. The first of these systems will be shipped to research institutes in four different countries including China. As this product gains momentum, our outlook for the remainder of the fiscal year is for growth each quarter. We are at the cusp of the most exciting time in this industry with the addition of BioStorage Technologies, we now have the first complete offering for critical biological sample management workflow that includes sample formatting, transport and tracking, storage, and inventory management. We are also able to provide a complete suite of bio sample handling services offerings that utilize our tools and processes that we believe are best-in-class among our competition. Not only do we have a complete cold chain solution, but we’ve extended this solution down to temperatures below minus to 150 degrees C, which is essential for cell lines and tissue, two of the highest growth segments within sample management. We are now positioned to provide critical capabilities that will enhance the value of research and drug development to the protection and improved quality of samples. We are truly unique in our portfolio of offerings and alone in the market. Our product line-up to serve the entire cold chain of condition is now completed, but let me say a few words about what that means for our business. As we stand today, our life sciences backlog is stronger than ever. We have 75% of our 2016 revenue forecast already booked and our visibility is clearer than at anytime in our history. It will take a couple of quarters to recognize much revenue from the stores business that we just booked in the quarter, but we still anticipate life sciences revenue in the March quarter of approximately $26 million and we will see additional quarterly revenue growth throughout the year as we begin to recognize revenues from our Cryo Bio Stores, new consumables and instrument offerings, expanded bioinformatic solutions and further growth of the BioStorage Services. That is, we now have a life sciences business that will be sizable, profitable, and more predictable than any time during its development phase and it’s a business that will add stability to balance our more cyclical semiconductor business. Specifically, we plan to cut the quarterly loss in half in March, breakeven by June, and deliver a profitable quarter in September, by which time the life sciences business is expected to be approximately 20% of our revenue and a steady and regular contributor to profit each quarter thereafter. Our momentum is strong and our core and new technologies are in great demand. 2016 is shaping up to be a transformative year for life sciences from one of product developments and market penetration to one of new product technology acceptance and utilization, plus significant growth and profitability. In terms of outlook, it feels like we are at the beginning of an upturn in the semi business. We forecast approximately 10% increase in our semi business in the March quarter as we do see shipments to build out some 10-nanometer pilot capacity and there is additional foundry capacity being added in China. NAND memory is also a driver. This coupled with the growth in our life sciences business gives us confidence in the growth we are forecasting for the current quarter. I would like to add one more general comment before I turn the call back over to Lindon. To-date, our semi business has carried the load providing enough earnings and cash to both fund the critical new products that have gained us share in semi, but also allowed us to acquire semi growth businesses like contamination control solutions. We have reinvested the proceeds from semi to advance our new product development and we have successfully gained share and we are growing as a result of our aggressive investments. Our semiconductor business has also enabled the formation of our life sciences business including the acquisitions and product developments that are transforming this nascent opportunity into a major market for our products and services. We are now in a position in 2016 to deliver on our investments. We are bullish about the make-up of our semiconductor and life sciences segments, which are both built on our strong core technology capabilities of automation and cryogenics in controls environments. We thank our shareholders for their patience as we work diligently to create this unique portfolio and we look forward to delivering on the potential in these strong market positions. That does conclude my prepared remarks and I’ll now turn the call back over to Lindon.
Lindon Robertson: Thank you, Steve. Please refer now to the PowerPoint slides available on the Brooks website under our Investor Relations tab. I will draw your attention to slide three, which is a consolidated view of our operating performance to begin our remarks. Top-line revenue decreased 18% sequentially to $120 million largely due to the anticipated downturn across the semi capital equipment industry which was partially offset by one month of contributions from the BioStorage Technologies acquisition. Non-GAAP gross margin was 35% which was down two points from the prior quarter. BioStorage will sustain and improve our average margins going forward, but this quarter diluted our gross margins by 70 basis points. I’ll say more about this business in a few minutes, but if you look at our results briefly without the acquisition, the gross margin is down 1.4 points sequentially, largely driven by the diminished fixed cost absorption, which comes with the lower volumes in product solutions. The income tax equation helped us this quarter as we had a total benefit of $1.2 million benefit not an expense. This included the R&D tax credit approved by Congress and the benefit of the jurisdiction on export profit and loss equation. Non-GAAP earnings per share landed at $0.02 for the quarter. Let’s turn on to Page four and look at the segments. Except for closing the acquisition faster than expected, the revenue in the quarter came in as we had expected from the beginning of the quarter. The trend primarily reflects the sharp decline seen across the capital equipment market for semi, with product solutions down 26% compared to the fourth quarter and global services down 10%. Life Science Systems showed growth driven by $6.5 million of revenue from the BioStorage acquisition, excluding the effect of this acquisition, the base business in life sciences declined $2.6 million. Let’s spend some time to go through each segment. Turning on to Page five, we see the impact that the capital equipment cycle had on the Product Solutions segment. When you look at the markets driving this change, sales into the semiconductor front-end manufacturing fell with a slowdown in investment by the fabs. Within this space, we saw the anticipated sequential drop in contamination control solutions, which was down 53% compared to the record revenue achieved in the prior quarter. In contrast to this, sales into adjacent markets were more resilient, sales into this space including our solutions supporting the advanced packaging in the back-end of the line continued to increase a modest 2%. While there is no avoiding in the cycle of the industry, it’s these dynamics that demonstrate an increased resiliency that we have picked up with the newer and more diversed areas of the fab supported by our automation portfolio. Gross margins for this segment was down 190 basis points. We saw the effects of lower absorption, partially offset by continued improved product costs. Let’s turn on to Page six to see Global Services. Revenue decreased 10% from the prior quarter’s repair services decline. This softness was felt across all geographies but more so in Europe and North America, while Asia was only down modestly. Lower utilization and mix impacted the gross margin in the quarter. On to Page Seven, we can see the Life Sciences business. Total revenues for the segment grew 22% to $20.9 million from the prior period. Excluding revenues from BioStorage, Life Sciences revenue softened 15% compared to Q4, but the primary driver being the lower revenues from the store systems. As Steve highlighted, we saw a strong bookings quarter for the base business. $30 million of bookings in this business is our second largest quarter ever and we continued to see a strong pipeline, all of which will support an increasing trend in revenue over the next six quarters as we deliver the systems on order. But within this quarter, we had to deal with the lower revenue. Excluding BioStorage, revenue was $14.4 million and gross margins improved more than five points to 33.3%, again that excluding the BioStorage impact. As we outlined previously, we completed planned fixed cost reductions in September within our Life Sciences business. We closed our Poway, California manufacturing site at the end of September. Our manufacturing center now resides in Manchester, England with increased support from contract manufacturers. In comparing our fixed cost structure in this quarter to the first quarter of 2015, we reduced $2 million in the areas of manufacturing and R&D. This also was a $1.7 million reduction compared just to the fourth quarter and was largely in the area of shared infrastructure around Storage Systems. While we have made some investments for sales structure, we are still $1.2 million lighter in fixed structure on a quarterly basis than we were one year earlier. We will continue to see profit improvements as we leverage the structure with revenue growth throughout this year. BioStorage contributed $6.5 million of revenue in the quarter. This revenue was all from the one month of December and is an unprecedented number in the life of that business. The unusual amount was driven by a larger portion of genomic services, a lower margin service offering that fluctuates month-to-month. In total, the BioStorage business provided approximately $200,000 of operating profit for the month. We expect that it continue to be accretive to operating profit for the periods going forward. In total, our Life Sciences segment achieved 30% adjusted gross margins. We estimate these improve steadily toward 40% by the fourth quarter supported by continued cost improvement in the base business as well as by the new BioStorage business. And now turning to Page eight, we are updating the Life Sciences revenue objectives for the year to a $115 million. This business now has four prime growth drivers including the new acquisition BioStorage, the strength in store systems, the consumables expansion, and the new cryogenic store system. We will see continued profit improvement through the quarters and as Steve indicated, we expect to have profitable contributions in the second half of the year. Let’s turn on to Page nine for a broader look at the Life Science revenue trends. We are pleased with the opportunities in this business to build up the stable underpinnings of a recurring revenue stream. Consumables and services are non-annuities, but they have a very steady repeating demand equation. The customers with our store systems enjoy the support of our infrastructure services. In 2015, the FluidX business added to this aspect with a consistent demand level for consumables and now in 2016, we have added BioStorage, a very steady source of storage service revenue and growth. As we move forward, this business model becomes more sustainable around the recurring elements and of course we continue to focus on the cost improvements of each area. Let’s turn to Slide 10 to take a look at the balance sheet. Of course the immediate observation is the acquisition and we’ve provided some breakouts on the right side of the page for you. We used $128 million of our cash to acquire BioStorage. This is not a business that carries inventory, but does carry accounts receivables and you can see BioStorage was the larger driver of that line item in this quarter. In the lower part of that same column, you can see that the property, plant and equipment increased with the acquisition by $14 million. This is driven by a proprietary software to manage customer samples, freezers and other operating equipment and leasehold improvements. For modeling purposes, you can assume about $6 million to $9 million of capital required annually as we grow this business. In base operations, there are two primary drivers of the $10 million higher working capital. We pay out the year-end variable compensation in this quarter reducing our accrued payroll. And we maintained inventory in anticipation of the rebound, but we use less accounts payable to do so. We expect some of this to come back to us favorably in the operating cash flow of second quarter. Our DSO will change with the addition of BioStorage reflecting on the accounts receivable. We expect our total typical DSO to be approximately 60 to 65 days once we are into a full quarter of revenue. Page 11 shows the cash flow, operating cash usage for the first quarter of fiscal 2015 was $12 million with the primary driver being the changes in working capital which we just discussed in the prior chart. Recall, I also indicated, we spent $128 million for the BioStorage business, $2.5 million of this payout was actually attributed to the operating cash flow as that went to Escrow to retain the leadership team, while a $125.5 million was attributed to the purchase price of the business. Capital expenditures were still at a normal level for us at $2.5 million and we continue to pay $6.8 million for dividend payments in the quarter, which combined with the investments in operating cash brings us to the balance of cash, cash equivalents and marketable securities of $65 million. So let’s summarize on Slide 12. We showed that $120 million of revenue for the quarter – this past quarter, this was helped again by $6.5 million of revenue from the new acquisition which was modestly accretive to income. This provided $8 million of EBITDA and $0.02 of non-GAAP earnings per share in the quarter. I’ll remind you that there was an income tax benefit in this first quarter of $1.2 million not an expense. So as we look into Q2, we are pleased with the strong bookings supporting a rebound in the semiconductor business. The BioStorage business will provide approximately $10 million of revenue this quarter and will again be approximately breakeven at the bottom-line. This brings our revenue range to $133 million to $137 million with earnings per share on a non-GAAP basis at $0.03 to $0.05. You can see a little more pick up in the EBITDA line than in the EPS as we anticipate returning to a normal income tax rate of approximately 35% on a non-GAAP basis this quarter. So that completes our prepared remarks and I will now turn the call back over to the operator to take questions from the line.
Operator: Thank you very much. [Operator Instructions] Our first question comes from the line of Edwin Mok with Needham & Company. Please proceed with your question.
Edwin Mok: Hey, guys. Thanks a lot for taking my question and congrats for a good quarter and result – guidance. So first question I have on Life Science, if I kind of look at the numbers. It’s up around $47 million this year versus last year based on your outlook for the year. But I think, your BioStorage cut well ahead of $40 million last year and given the growth and the strong bookings you just reported, I would have thought that your Life Science can even do better than that. Is it just conservative sum or is it some timing of that and I think Steve mentioned revenue recognition maybe slow and then I have a second. Can you give us some color on that?
Lindon Robertson: Yes, Edwin. Appreciate that, because I think it can be a little confusing. Remember that, we did say it would be on a 20% growth rate, but that’s for a full year basis and in the first two months of this fiscal year we did not own the business. So we will have it ten months out of the year, not a full year, but it is on a 20% growth rate. So I think you are – you would actually factor in somewhere in the 40 to a 40s number there and then you would be - balance of 75% would be what you would be seeing in the balance of the business and we’ve got Dusty" Tenney held to the fire on this, but we expect that we are going to optimize the portfolio here and shoot to achieve and to please on this number. I don’t call it conservative, but we are very optimistic about this number.
Edwin Mok: So, excluding Power Storage, you guys expect some growth was in the year than and I think Steve talked about the Cryo product and then I think time for revenue to be recognized. Is that just timing of revenue or qualification? Can you give us some color?
Stephen Schwartz: Yes, I think inside of the – if you just touch the numbers I said, and let’s just say it’s 75, that compared to $68 million in last year. That’s a little more than 10% growth and the bookings that we are putting in now are going to help build in the second half revenue as a starting point, but it will some into 2017, because it takes a typical customer ordering a large system. Sometimes 8 to 10 months. A few of them will take a system in six to eight months, but many times, it’s a one year project for them. So, we start building and as you know we use per synergy completion, so we will build some of that in a few months. But it will take little time for that to pick up. The cryo products, the BioStore III, it’s going to be a great product for us. As we said, we anticipate, perhaps $1 million of revenue this coming quarter. It’s going to be based on an adoption rate. So inside here, we do have some revenue factored in for that growth around that product and more important to us, I think is the whole ecosystem around it. The value chain, we see an opportunity to fill more and more value around them.
Edwin Mok: Great, that’s very good color. And jumping on to the semi cap side, I think, Steve you talk about share gain especially on Edge, Deps and with these new processes, right. I want to kind of focus on 3D-Nand and is that what you can kind of think about how much market share position you have improved from kind of the plainer traditional Nand versus some of the new process for 3D-Nand?
Stephen Schwartz: Yes, Edwin, we don’t look at so much as the process is the OEMs who we serve. So we have very high position in Edge and we have very high position in CVD. So when we assess the market share we have across the board, we are – the vacuum robotics are somewhere in the range of 70 plus percent market share. So anything that drives Dep or Edge drives that vacuum automation and Nand is obviously, Nand is an enormous user of Dep and Edge.
Edwin Mok: Helpful, so, okay, great. Okay, that –we can talk to the technology until, lastly, just on the CCS product, I want to clarify with your commentary. Are you seeing that, based on the leading-edge 10-nanometer investment that you expect to start in the second quarter as a testament in the large OEM that you start to see business, start to pick up in calendar second quarter? And I think you made some comments about non-leading edge, have you start to see any adoption of those products on the non-leading edge?
Stephen Schwartz: Yes, so Edwin, I’ll do my best. The connection wasn’t the most clear, but I think you asked about, first the 10-nanometer pilot production. In prior quarters, we already shipped some automated food cleaning tools to 10-nanometer pilot lines and in the current quarter, we will add more of those systems into those pilot lines. So, to be clear, we’ve installed some for 10-nanometer, we are installing more in this quarter. And of course, we anticipate, if there is more – if there is more build out in the second half of the year, then we will ship tools for more 10-nanometer production. In the non-leading edge foundries, what we’ve seen now is, particularly in China as the foundries get to 28-nanometer, they too are buying the food cleaning products from us and as a matter of fact, one of the products that’s particularly well suited to some of the China foundries is the M-330 product that we got as a result of the Contact acquisition. So it was a good midline product in the portfolio that suits particularly well. So, we have a complete range, but we are seeing the second-tier foundries now become heavier users of the CCS products. It was anticipated that would be the case, it’s proving out now that they are moving toward 28-nanometer.
Edwin Mok: Great. That’s all I have. Thank you. I appreciate it.
Stephen Schwartz: Thanks, Edwin.
Operator: The next question comes from the line of Patrick Ho with Stifel Nicolaus. Please go proceed with your question.
Patrick Ho : Thank you very much and congratulations on the outlook. First in terms of the BioStorage acquisition, I know it’s really early in the – I guess, the process, but as you discuss the acquisition on customers with both ends, both your core storage systems customers as well as the BioStorage customers, where do you see kind of the growing interest of leveraging the products with one another. So, are you seeing more from the storage guys seeing the service opportunities about storage offers or are you seeing the large customer base that BioStorage has being a potential leverage for your core business?
Stephen Schwartz: Yes. Thanks, Patrick. Actually, it’s a really good question. It’s the one of the ones we spend lot of time on diligence if you will, but I think it’s one way also for which we have a good answer. Very often, for some of the large institutions, for example, that will have archive samples and the one that have – one those to be handled with precision, the ones to be handled with extreme care BioStorage Technologies has done a tremendous job with that. They also have on-site services that they are able to apply. But what we find is that often these institutions will have an onsite capability where they have high velocity or they’ll use samples quite a bit and those need to be stored onsite nearby, because those are active samples if you will. But there is a point at which some get archived and so the combination if you will of the tools that we provide at the customer sites, where Brooks has a very strong presence and the process capability from BioStorage, that’s an opportunity at the customer sites and when we look at the opportunities that exists at BioStorage for the more longer term storage or the bulk shipments that go back and forth occasionally, the processes that BioStorage has coupled with some of the tools from Brooks, we think will enhance that offering as well. So it’s onsite for higher velocity samples and remotely for more archival kinds of storage. It’s a tremendous combination and it offers an opportunity to both entities to increase the capability in both ends of that chain if you will.
Patrick Ho : Great. That’s helpful. And on the semiconductor side of things, you saw a very strong growth on the advanced packaging side this year and you are probably well aware, we are starting to see a larger trend, specifically this year on the packaging side of things. Can you kind of just give color on what provided customers with key differentiators with your products and how you will benefit from this emerging trend that seems at least sustainable over the next couple of years?
Stephen Schwartz: Sure, Patrick. We have a pretty quick design capability that we have – what we call the jet common platform which is particularly well suited to some of these back-end lines. It’s a common platform that the customer will recognize now across many OEM products and what we’ve done is, we’ve spent a lot of time to adapt to different configurations of wafers in the back-end. So, wafers that are clamped in a frame, wafers that have been thinned and are not as rigid or as flat as conventional front-end wafers, at the same time, we have vacuum tools that go into some of the process tools that go into the back-end. So we’ve taken the front-end capability and we’ve adapted it exactly to sometimes unusual substrate configurations, but we’ve been able to move very quickly for some of the OEMs and Patrick, I think the main reason here is, we started this activity three or four years ago. So we identified the back-end as an opportunity and we were willing as the leading provider of automation to go with some of these smaller players knowing that the back-end was going to be potential for us to get in. And so business that we might not have been actively pursuing several years ago, we actively went after it and we are seeing it bear fruit now as the volumes are picking up for some of these, what I would have considered tier-two players in the back-end.
Patrick Ho : Great. Thank you very much.
Lindon Robertson: Thanks, Patrick.
Operator: The next question comes from the line of Ben Rose with Battle Road Research. Please proceed with your question.
Ben Rose : Good afternoon. I have a few questions actually. With the discussion around the CCS business having been down as expected in this quarter, and your expectation for it picking up later on the year, I am a little confused as to what is driving the pick up in March? Whether it’s kind of a sustained follow-through in some of the back-end products that you discussed or whether there are other front-end products that you are selling that are accounting for this sequential pick up?
Stephen Schwartz: Sorry, Ben. I am going to – this is Steve – I’ll try the first part and then I will share the answer. On the CCS products, these that are contamination control solutions, those are mostly been driven by foundries. So, from 28-nanometer, down to 10-nanometer, and these are the cleaning products mostly for the food carrier cleaning products and most of those shipments are to China and to Taiwan. And some of the 10-nanometer is for pilot line production and the foundries in China if you will are for 28-nanometer foundry capacity.
Lindon Robertson: Just to keeping in perspective on the revenue size, last quarter we shared that we had, right at $17 million and it’s down 53% this quarter to about $8 million.
Ben Rose : Right.
Lindon Robertson: And then, we anticipate growth from here. So this is the business that we acquired about two years ago and when we acquired it, we spent $32 million. So this $8 million of revenue is actually kind of interesting, it’s such a down – it’s a down quarter. Of course last quarter was quite large, but even with this $8 million if you were just looked it on n run rate it’s $32 million still we are really pleased with this business and the growth aspects, and the applications space that it’s going into.
Ben Rose : Okay, and Steve, with regard to your comments about China, was that more of, kind of a longer-term bullishness that you have about your prospects there or would you see China, and the customers that you mentioned earlier contributing to the first half of the year?
Stephen Schwartz: Yes, we’ve had a good business in China now for ten years. But what we see is, there are more OEMs showing up in China and they are keen to have automation and cryogenic technologies that will be enabled in fabs very quickly. So we are able to have very high share there, but we are really impressed by the growth opportunities that exists in China and what we foresee is, that as China begins to add more semiconductor manufacturing capacity in China that we anticipate that some of the local OEMs will be encouraged or favored if you will to provide systems to those fabs when they are able. So we think it’s been prudent for us to engage those OEMs as we think their business ha a chance to grow as the semiconductor manufacturing continues to grow rapidly in China.
Ben Rose : Okay, thanks. And then just two quick questions on the life sciences business, exclusive of the BioStorage Technologies’ contribution in this quarter. It looks like the life sciences business was down sequentially. Was that mostly due to tough year-over-year comparisons with regard to large storage systems or are there other factors that play there?
Stephen Schwartz: The statement we have, we have $14.4 million and that’s down $2.6 million from the previous quarter, the fourth quarter.
Ben Rose : Right.
Stephen Schwartz: And it was largely weaker store systems and that reflected, we had fairly slow bookings over the last – really over the last four quarters. That was a slower year. We had a few bookings and the thing that we reflect on one as Steve said in this quarter, it was nice to see a come back. We’ve said – we’ve always said for the last three years that this has been a lumpy business. We saw a real backing of that infrastructure investment this last year. What we still are pleased about is our win rate throughout the time period from time that we launched the twin bank has been really high as Steve indicated, we had a really high win rate again this quarter on the deals that came to market. And so, it will take a little while for that revenue to turnaround, because it is an infrastructure build. But, Ben, that’s the primary reason.
Ben Rose : Okay. And then, finally, with regard to how BioStorage fits in from a profitability standpoint, it sounds like, on an operating basis, the company is profitable, but it’s gross margin structure is lower than your life science business. It is currently – I am not clear on whether that’s simply because of the genomics’ contribution in this quarter or whether the business can help to improve gross margins in particular for life sciences over the course of the coming year?
Stephen Schwartz: Yes, actually, that’s a good assessment. We did have a weaker margin month. That’s the operative board, it was a month of business and it was the December month. So, in that December month, there is some funny things that happen as customers have budgets at the end of their calendar year and the business saw an unprecedented level of service revenue in that month, but it had an unusual mix to this genomic services. And so the, the margins that we’d been through all the history of the company and through diligence and through the recent history and it’s also a very unusual margin result for the month. So it is lower, but it’s not where we anticipate the business is and I think the real important point for you and that our investors to understand, we acquired the business, we looked at it without the genomic services and then we viewed it with the genomic services as a really nice customer add-on for the customer. But it brings modest incremental profit, but that’s not only know about the business but it’s a nice customer feature to have one stop shopping for them. So, anyway, that’s it. It brought in a little less margin on a percentage basis. It was accretive in the first month. I was pleased about that and we are happy on the prospects going through the rest of the year.
Ben Rose : Okay, thanks. That’s very helpful.
Operator: [Operator Instructions] The next question comes from the line of David Duley with Steelhead Securities. Please go ahead.
David Duley : Thanks for taking my question. Congratulations on a nice guidance and a path of recovery in the life science profitability. That’s great. First question is on the overall exposure to – and in listening to you answer previous questions it sounds like there two areas you have, wafer handling, two pieces of the puzzle and then some sort of vacuum products offerings. What are the applications that the vacuum is used for in the back-end?
Stephen Schwartz: Yes, David. We will get into the details, because as I said, when I answered the one exposed necessarily the customers, but they are conventional processes that are done also with the front-end. So there are Edge and there are deposition steps. So of the 29 design wins that we have seven are for vacuum robotics or vacuum systems and the remainder are for atmosphere products.
David Duley : Okay. But that’s – so you have both – for definite you have both the vacuum and then a wafer handling exposure?
Stephen Schwartz: We do.
David Duley : Okay, great. And could you help us just, for maybe calendar 2015 gives the size of your overall back-end business, so we can understand what it means when it grows?
Stephen Schwartz: Last year, we said that the back-end in the package space that we would hit about $30 million for the year and that was up in a range of about 60% and that was for our fiscal year. The back-end as we finished the calendar year, actually the growth rate was – on those fourth quarter period, compared to the previous calendar year 2014, I had – it was up more than 80%. I mean, that was a really remarkable growth for that time period and so that’s the ballpark that we are – what we are planning in. So, as we described this last year, David, I recall you had some interest on this and it was – what we would have said smaller, it’s beginning in last year. We said it be meaningful when we exited 2015 and here we said it was something greater than $30 million that’s grown at this pace and we see the applications being not just relevant, but diverse in the amount of customers as Steve emphasized, we had 25 customers in this space. So, we really love this space now.
David Duley : Yes, great. And, with that in mind, and looking at your front-end product offerings, I would just think based on your commentary that if we have a flat WFE that you will be growing your semiconductor businesses in calendar 2016?
Stephen Schwartz: The back-end can drive that, yes, Dave.
David Duley : Do you think it will grow, if the overall wafer fab equipment market was flat would your fund-in oriented products grow year-over-year or you get market share gains?
Stephen Schwartz: Again, it will go with – Dave, it will go with the definite. The reason we’ve outgrown pretty significantly over the past couple of years is because, in a flat WFE environment, those processes are growing. So we will continue to ride that as long as they continue to expand share so what we – at a faster rate than WFE.
David Duley : Okay, and help me understand – you’ve talked of those bunch of moving pieces in the life science business, but just – so we can understand it on somewhat 30,000 foot perspective, how exactly do you go from your current operating loss to profitability by – I think you mentioned to the June quarter or September quarter. What are the steps that you will take to achieve that?
Stephen Schwartz: Well, one let’s reflect on the steps that we’ve taken, as we said, we took out a couple of million dollars to fix cost and the biggest part of that came between the fourth and the first quarter and so we had that benefit late into the structure of our business. However, we also had some slowness in revenue. But you can see that in the revenue projection as Steve shared, we expect to be around $26 million this next quarter compared to the $21 million and we also told you by the way that the BioStorage business will go from $6.5 million to about $10 million. So you can see there is growth on both size of the business and so that growth we anticipate to be leveragable and so that’s where we think we cut our loss in half in the next quarter. If our drop through generally is in the 40% range and some areas of the business, it could be 50% depending where the revenue materializes and so that incremental revenue is going to come at a really nice pace for us in terms of profit contribution. There is some areas that the team is really working on continued cost improvements both on the execution of projects as well as the overall structure of the business and I don’t want to take anything away from them on that. They still have the eye on that and we have a little bit planned in for that. But the bulk of this year I think you would – I think the best way to describe is going to be leveraging the structure that we position now with the revenue growth.
David Duley : So, this summarizes, but cost-cutting that you already did on the fixed cost side and then the revenue growth that you expect in the business based on the orders you just achieved would be the two main drivers to the improved margins?
Lindon Robertson: Yes.
David Duley : Great. And. I noticed stock comp went up dramatically in your financial; statements. What could we expect for that going forward?
Lindon Robertson: Yes, that’s a great question. So, we replaced our – I’d ay we replaced, I always think of it as replacing, but we issued this three year performance-based stock grant in this quarter and that replaced one that was three years old and if you may recall three years ago, the company was an outpefomer. So it had already fallen off. So you are basically accruing now into a full program when we displace something that was smaller. And so that gives you growth on a quarter-to-quarter basis just based on your required accrual. We had some other adjustments that or maiden true ups et cetera, but that - the primary driver here was the expansion of the program. Going forward, you would expect that this will come down a little bit, actually, I should say in this coming quarter, we have our Board compensation. We always face that in the second quarter and so you may see it to be approximately flat and then after that, I think you would see it trail-off just a little bit on a normalized basis.
David Duley : Thanks.
Lindon Robertson: Yes, thank you, Dave. Appreciate your question.
Operator: Our next question comes from the line of Farhan Ahmad with Credit Suisse. Please proceed with your question.
Farhan Ahmad : Thanks for taking my question. My first question is regarding your life sciences business. You gave very good targets for the year in terms of your quarterly revenue projections. I was wondering if you could provide us with some kind of quantitative or even like rough idea on how much operating profits we can expect in the fiscal year?
Lindon Robertson: Farhan, we are going to be shy on doing it, but here is the objective is, as we indicated, we would cut this loss in half in this next quarter and then get the breakeven in the following quarter. So, one, I could tell you the $4 million loss this quarter should go to around $2 million or better this next quarter. So we’ll have – you could anticipate a $6 million in the first half and then we said, we are going to show some profit in the second half remains to be seen and we are just not going to put a number on that. But I think from that point forward, our objective and drive is to see profitable business going forward from there and that’s the message we have inside our business. That’s the focus we have and that’s what we wanted to share with you today to make sure you see that objective. I know there would be a tremendous interest to see the power of that earnings and I think it’s going to become very clear as we get into that fourth quarter. Keep in mind that, our objective for this business is to see an excess of 40% gross margins as we get into 2017 and the life science business is on track to support that.
Farhan Ahmad : Got it. But I mean, if I look at your June quarter, you are basically guiding to pretty steep ramp in revenues. So, in terms of your breakeven point, are you basically saying like, if I just analyze the June quarter revenues, the breakeven level for the business around $130 million, could that improve from there as we go forward?
Lindon Robertson: Again, I think we are going to hold off before we describe too far into the future on this business. But as we aggregate the business and realize the customer synergy side that will determine a bit just how synergistic that profit equation is, but we are very optimistic on that.
Farhan Ahmad : Got it. And then, looking at your life sciences business, in the projections that you provided, it was very interesting that you broke it out between systems and what the recurring revenue is and what’s impressive of that, do you have a pretty – the bulk of the business is actually recurring, but what was little bit surprising in that is – that as I look at the growth projections, the recurring stream is actually growing for next few quarters pretty steadily. So with the recurring businesses I would have expected somewhat lower growth rates. So if you could just talk about like what’s the reason that the recurring business is increasing so fast for the next few quarters?
Stephen Schwartz: I’d say, Farhan, could you just clarify what stream you are asking about specifically?
Farhan Ahmad : So, if I look at your – the slide deck that you provided on your slide number nine, you had – in the life sciences, you had broken the service and consumables which is the recurring piece of the business. And if I look at that, that continues to grow steadily through the year much faster than what’s – it’s done like historically. So I just wanted to understand like why is there a growth projected in the recurring business as when I would have thought like recurring businesses are slow growth steady growth kind of businesses.
Lindon Robertson: Yes, so, if you look at the chart, let me just point out the difference between Q1 and Q2, because in Q1, just as a reminder, we only had one month of the BioStorage. So you are getting a step-up in the services business around the storage, outsourced storage. And so from there, I think if you look from Q2 forward, what you are seeing is a little more growth or balanced growth on both sides, really you are getting the growth in the tail-end of the year from the twin banks on the top part of the chart and on the bottom part, you are getting continued growth from the – both the bookings that supports as we said 20% growth in BioStorage as well as we are still expanding the consumables with the decks in the investment stream. So, we don’t – when we say that that’s a steady business, we think it’s a steady business that’s repeatable with growth and then each time we add a customer, that’s a very sticky retention on that base part of the business. That’s what we like about that.
Farhan Ahmad : Got it. And then, one quick clarification on the CCS revenues. Obviously, the revenues are pretty lumpy like September quarter, they were $17 million, down to about $8 million in the December quarter. And you talk about growth in the March quarter. I just wanted to understand how much of the growth in the products business is coming from CCS versus your other products? And is the CCS business going back to the September level or it’s somewhere in between your December and September?
Stephen Schwartz: Hi, Farhan, So, the CCS business is growing. It’s between September and December. The advanced packaging back-end is also growing. And so, all of the areas are contributing, the front-end is growing as well.
Farhan Ahmad : Got it. Thank you. That’s all I had.
Stephen Schwartz: Okay, thanks, Farhan.
Operator: Mr. Robertson, there are no further questions at this time. I will turn the call back to you.
Lindon Robertson: All right. Thank you, Cersei and thank everyone for your interest and your time with us today at Brooks Automation. We really look forward to speaking with you when we report the results from our fiscal 2016 second quarter. Thank you again.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.